Operator: Good morning, ladies and gentlemen, and welcome to the Rogers Sugar Third Quarter 2023 Results Conference Call. After the presentation, we will conduct a question-and-answer session, which will be open only to financial analysts. Instructions will be given at that time on how to queue up. Please note that this call is being recorded today, August 14, 2023 at 8.00 AM Eastern Time. I would now like to turn the meeting over to Mike Walton, President and CEO. Please go ahead, Mr. Walton.
Mike Walton: Thank you, operator, and good morning, everyone. Thank you all for joining us today.  Before we begin, please be reminded that today's call may include forward-looking statements regarding our future operations and expectations. Such statements involve known and unknown risks and uncertainties that may cause actual results to differ materially from those expressed or implied today.  Please also note that we may refer to some non-GAAP measures in our call. Please refer to the forward-looking disclaimers and non-GAAP measure definitions included in our public filings with the Securities Commission for more information on these items. A replay of this call will be available later today. The replay numbers and passcodes have been provided in our press release and an archived recording of this call will also be available on our website. Now that the formalities are out of the way, I’d like to start by discussing how we are delivering on our goals with the capacity expansion project we announced today as well as with our solid quarterly results that once again demonstrate our businesses generating consistent profitable growth. I'll then pass the microphone to Jean-Sébastien Couillard, our VP Finance and CFO, who can add more detail.  Let's start with something we are quite excited about, our investment in upgrading the Eastern Canadian capacity and logistics capabilities. As those who follow us closely will know, our intention is to deliver consistent profitable growth by concentrating our efforts on supplying the domestic market, which has very strong fundamentals that support long-term demand for our sugar.  These strong fundamentals are particularly evident in Ontario and Quebec, where the food manufacturing industry is expanding to supply domestic consumption as well as export markets. Food manufacturers are building factories in the region to take advantage of Canada's favorable sugar economics and proximity to millions of consumers on both sides of the border. That creates robust long-term demand for the sugar we produce.  Given that favorable long-term outlook, we are very excited to announce today that we are proceeding with the expansion of our Eastern Canadian capacity to the optimization of our Montreal plant as well as investing in our logistic capabilities in Montreal and the Greater Toronto Area. The project includes adding new refining equipment at our Montreal plant, which will increase refining capacity by approximately 20%.  The project also includes construction of a new bulk rail loading section in Montreal to serve increased shipments to the Greater Toronto Area as well as expansion of our GTA distribution capabilities. I should note here that most construction work in Montreal will be done inside an existing building on site, which will allow production to continue without disruption. We will start construction this fall and expect the new capacity will begin to come on stream about 24 months later.  The total investment will be approximately $200 million, which is higher than the $160 million we had previously communicated. JS can go into more detail, but the higher number reflects factors such as inflation and exchange rate impacts on equipment we are sourcing from Europe and more clarity on requirements as we progress from preliminary engineering to detailed engineering planning.  In 135 years, our company has focused on the long term. This investment in our future is in keeping with that philosophy, putting us in an even better position to benefit from strong industry fundamentals in the coming years. By expanding the refining capacity close to our customer base in Eastern Canada and the U.S., we reduce our reliance on transporting sugar from our Vancouver plant. This will reduce freight costs and improve margins. It will also leave our Western capacity available to support our growth opportunities.  Importantly, the project also enhances our ability to produce sugar in Canadian-owned and operated facilities in Canadian communities. We also support the long-term growth of the food manufacturing industry in Canada with all the jobs it creates. In short, this project is good for our customers, our shareholders, our local communities, and our industry as a whole. We are very excited about this next step.  Now turning to our third quarter results. This is another very solid quarter for the business in keeping with our focus on delivering consistent profitable growth. In fact, this is our sixth straight quarter of year-over-year growth in EBITDA. In the quarter, we continued to see strong demand for sugar. Volumes for the quarter was our second highest third quarter volume in our 135-year history, trailing only last year when we had a one-time event that drove up demand.  Improved pricing drove a modest financial improvement from the same period last year, despite the lower volume in the current quarter. Our Maple business saw a slight decline in financial performance due to lower volume as a result of reduced demand and unfavorable market dynamics. Offsetting those factors, Maple continues to benefit from higher average selling prices and our investments in automation, which are reducing production costs.  Now looking more specifically at our sugar segment results, volumes were 190,000 metric tons in sales, a decrease of 11,900 metric tons when compared to the same period last year. In the first nine months of the year, sales totaled more than 579,000 metric tons in line with the same period last year. Last year's quarter was unusually strong due to an unforeseen peak in demand we experienced in the second half of 2022, resulting from disruption that caused tightness in the market that allowed us to capture opportunistic sales.  We continue to see firm demand for sugar-containing products across North America and strong volumes in the fourth quarter to-date. Trends affecting the business continued into the third quarter, with adjusted gross margin improving as a result of strong demand for quality sugar and improved pricing. The benefit of higher selling prices was partly offset by inflationary pressures on operating costs as well as lower sugar volumes.  Now I'd like to say a few words about our Taber beet crop. You may have seen some of the news about poor growing conditions in Alberta from drought. It is important to note that our beet crop is minimally impacted by these poor weather conditions because most of our acres have access to irrigation. We believe at this point we will have enough water available to us to allow for normal growing conditions. Our beets have been planted. While it is still very early to predict, we expect our crop to produce normal yields.  Additionally, last quarter, I mentioned we have increased production at our Montreal and Vancouver cane facilities to augment production from Taber to continue meeting our commitments to our customers and increased overall demand. Our plants are running very well, and we continue to use our multiple refiners across the country to ensure uninterrupted supply. Also, we are pleased to see the settlement of the Vancouver port labor dispute. We were fortunate that we saw no impact on our operations as we had ample raw sugar on hand on the dock that carried us through.  Turning to our outlook. As a result of market dynamics and the timing of export sales, we now anticipate 2023 volumes of 800,000 metric tons, down slightly from our previous forecast of 805,000 metric tons. At the beginning of the year, we set out our expectations with our goal of supporting domestic market, with increases in industrial demand more than offsetting the plan decline in exports. However, timing of contracted volume being pulled by our domestic customers does not always line up perfectly with the completion of our export commitments. As always, we will take advantage of opportunistic export sales when supply and price conditions align.  In summary, demand is strong and we have not seen any losses in our market share. We continue to be well positioned to service the growing food and beverage manufacturing sectors across Canada. As I noted in a previous quarter, we are currently very satisfied with our sugar volume. We remain focused on improved pricing and in delivering improved results.  Now turning to our Maple segment. Adjusted EBITDA declined slightly in the third quarter largely due to lower sales volumes driven by consumer spending. Despite lower sales volumes and inflationary pressures, adjusted gross margin improved by 130 basis points compared to the same period last year, as we see the benefits of an improved average selling price and reduced costs due to our automation projects.  As I mentioned last quarter, the automation projects for bottling operations at two of our maple plants both came online during the second quarter with an immediate impact on reducing variable costs. We see the contribution to improved financial performance in our adjusted gross margin and expect this contribution to continue for the remainder of 2023 and beyond. We continue to pursue additional projects where we see opportunities.  Now, as I usually do, I want to say a few words about our employees. They are essential to delivering reliable, high quality sugar and maple products. We would not be steadily growing the business without their dedication. We had a strong start to the year. I want to thank them for their commitment.  Now I'll turn it over to JS to provide more information on the current quarter as well as an update on the financing status of the capacity project.
Jean-Sébastien Couillard: Thank you, Mike, and good morning, everyone. Before I speak to our strong third quarter results, I would like to take a few minutes to discuss the financing of our Eastern Canada capacity and logistics expansion project. As Mike mentioned, the total investment of this important initiative is estimated at approximately $200 million. We are in the process of evaluating several financing options, with the objective of aligning the financing plan of this project to our current capitalization profile and credit fundamentals.  As such, our financing plan will include a combination of debt and equity or equity like options. Later today, the provincial Minister of Economy, Innovation and Energy, Mr. Pierre Fitzgibbon, is expected to join us at our Montreal office to formally announce the support of the Quebec government for our project. This support will be in the form of project-based secured loans from investing in Quebec for an amount up to $65 million.  Also, as you will have seen in our third quarter regulatory filing, the Board of Directors of Rogers has approved a filing of a short-form base shelf prospectus in connection with expected financing initiatives over the next 25 months. This document has been filed with the Securities Authority this morning and will provide us flexibility to manage our capitalization needs in the near future. As the project advances, we will continue to evaluate our financing options and we'll update the market at the appropriate time.  The key point I would like to reiterate is that we are undertaking this growth investment in a way that ensures our capitalization structure remains stable throughout the project construction phases and once operational, continuing to provide a strong return to our shareholder while maintaining our good credit fundamentals are priorities for us.  As Mike noted, the anticipated investment totaled approximately 200 million is greater than the amount of 160 million previously communicated about a year ago. The increase in our estimate is due to several factors that were assessed during the detailed planning in engineering evaluation stage. For example, our detailed analysis showed that we needed to upgrade the power supply of the whole plant to accommodate the incremental production.  Furthermore, our initial estimate was impacted by several global economic factors, such as the recent inflationary cost pressures and the reduction in value of the Canadian dollar as several pieces of equipment will originate from Europe. Our analysis shows that the expected margin of the new capacity should more than offset the increase in our estimated construction costs and provide a financial return similar to what we are currently generating from our sugar segment. We plan and invest for the long term, and we are very excited about this project as the added capacity will position us for long-term growth and allow us to maintain our position as the leading sugar supplier in Canada.  Now I will turn to our third quarter 2023 results. Consolidated adjusted EBITDA was 23.7 million, up 0.6 million from the same quarter last year as our sugar segment continued to drive improved performance. We expect sugar demand and pricing to remain strong for the remainder of fiscal 2023, despite lower volumes in the quarter and inflationary pressures on costs. For maple, we expect the challenging market environment to remain through 2023.  Let's continue my remarks with a review of the sugar segment. Adjusted EBITDA in the sugar segment was 20.7 million in the third quarter, up 4% from the same quarter last year. Our total sales volume was down 6% compared to the same period last year. As you might recall, in the second half of 2022, the market was experiencing supply tightness that led to an unforeseen peak in demand in our industrial segment during that period. That makes for a difficult comparable on a quarter-to-quarter basis. However, we saw that underlying demand was strong in 2023 as the total sales volume was our second highest third quarter on record.  Our improvement in adjusted EBITDA in the quarter was driven by increased pricing on refining activities. This was partially offset by higher production costs and lower sales volume. Adjusted gross margin increased in the quarter by 2.3 million or 8% from the same quarter last year. On a per unit basis, adjusted gross margin increased by approximately $21 to $159 per metric tons, driven by higher pricing from strong domestic demand.  Distribution costs increased by 1.8 million from prior year period, mainly due to incremental logistical costs incurred to move sugar from our Western facilities to support the Eastern demand, as well as the lower than expected production in Taber. Administration and selling expenditures were down slightly compared to prior year quarter, due to lower compensation costs attributable mainly to lower share-based compensation expense.  Looking ahead, we have slightly reduced our 2023 sales volume expectations to 800,000 metric tons. This still represents an increase of 5,000 metric tons over our fiscal 2022 volume, which was our highest sales volume year on record. In fiscal 2023, our consumer volumes are expected to remain stable, while liquid volumes are expected to increase by 1% driven by continued strong demand. Our largest segment, industrial, is expected to increase by 2% as demand for sugar-containing products remains firm.  As we reassessed our segment variances for 2023, we now expect export volume to decrease by 9%. While we continue to focus our sales on capturing the strong economics available in the Canadian market, we will sell into key markets where available and when we can be opportunistic. Additionally, out of an abundance of caution, we have begun importing a limited volume of refined white sugar from Central America to ensure we can mitigate the shortfall of our current year Taber crop and support the needs of the Canadian domestic market.  We continue to believe in the strength of the underlying North American demand for refined sugar. Our view is blustered by our competitive advantages and favorable market dynamics across all our customer segments. We continue to expect increased pricing to support our financial results and largely mitigate the ongoing inflationary pressures.  I will now move to our maple segment. In the third quarter, our maple segment continued to be negatively impacted by inflationary pressures and lower global demand for maple syrup. Adjusted EBITDA at 3 million was slightly lower than the same quarter last year and below our initial expectations, lower volumes and higher costs more than offset the benefits of recent favorable pricing action.  We are beginning to see the positive impacts of improved purchasing and production automation. The initiatives we put forward in recent months are driving efficiencies and mitigating some of the impacts of ongoing inflationary pressures related to energy and labor. As a result, our adjusted gross margin improved to 9.5% in the current quarter.  For the remainder of 2023, we continue to expect the maple business sales volume to be challenged as we factored the impact of global reduction in market demand for maple syrup. We anticipate this challenge to be mitigated in part by negotiated price increases with key customers and lower production costs driven by automation and recently negotiated supply agreement for packaging material.  Before closing, I would like to highlight a few other related financial highlights. Our adjusted net earnings for the third quarter were 8.7 million, up from 8.4 million last year. On a per share basis, that represents $0.08 per share. Free cash flow for the last 12 months was 47.8 million, a slight decrease of 1.6 million compared to the same period last year, mainly related to timing.  For 2023, we expect our capital expenditures to be approximately 25 million on various capital projects in sugar and approximately 1 million in maple. The nature of such spending is similar to prior years and focused on initiatives mainly related to improvement of our current facilities and improved business processes. This estimate is separate from the 200 million investment in our Eastern Canada expansion project.  For 2023, we anticipate spending about 10 million in relation to the expansion project, 6.9 million of which has already been spent on the planning and detailed engineering stages. Today, we are also announcing that the Board of Directors approved a payment of a $0.09 per share dividend in relation to the results of the third quarter. This is consistent with the quarterly dividends paid for the last several years.  Overall, the third quarter of 2023 has largely continued with the same trends we have seen since the second half of 2022. In Sugar, which represents over 85% of our business, the trends remain favorable as strong sugar demand and market-based pricing increases are expected to continue and provide improved results. We expect the maple segment to continue to face a challenging business environment for the remainder of 2023, driven by difficult global market conditions. We are very excited about the capacity expansion project that we formally announced today.  We believe Canada remains an attractive market for investment in sugar refining and processing of value-added food products containing sugar. This strong demand for sugar-containing product across North America will help us manage ongoing inflationary pressures. Our company is already well positioned to benefit from those strong trends, and our capacity expansion will allow us to maintain our favorable momentum when the new volume comes on stream in approximately two years.  With that, I would like to turn the call back over to the operator for questions.
Operator: Thank you, sir. Ladies and gentlemen, we will now begin the question-and-answer session for analysts. [Operator Instructions]. Your first question will come from George Doumet at Scotiabank. Please go ahead.
George Doumet: Yes. Hi. Good morning, guys. I just want to get a little bit more information on how the wrap up looks like -- 24-month wrap up looks like, anything you can share maybe in terms of duplicate costs, potentials for the transition there. And how should we think of maybe the incremental contribution of those, I guess it was 100,000 metric tons from the EBITDA line down the road. Thanks. 
Jean-Sébastien Couillard: Yes. George, it’s JS here. It’s a good question. We are going to start construction in the next few weeks. We have actually -- we are starting to put orders for long lead items. From a cash flow perspective, I think the use -- it's fairly linear over 24 months. So we're not -- there might be peaks here and there depending on large piece of equipment, but we think it's going to be fairly linear. From an earnings perspective on the extra 10, I think if we look at what we are generating out of our sugar segment, we are expecting to generate the same type of return which is somewhere around the 10%, just a bit north of 10%, which is what we have been getting out of our sugar segment in recent years.
George Doumet: Yes. Thanks for that. And I was hoping to get a little bit more color on kind of lower volume guidance on the sugar business, maybe kind of what led to that? And do you think we could perhaps grow volumes next year?
Mike Walton: Good morning, George. It's Mike. That's a great question. And it's a minor tweak down from 805 to 800. And trying to sequence contract commitments with export customers and contract commitments with domestic customers isn't a total exact science. So it's not a softness in the market. It’s just a repositioning of volume against commitments that we have on the books and the timing and sequences of those. I think the business will continue to grow. That's why we're announcing the expansion. And we'll continue to leverage all of our manufacturing sites to support the one.
George Doumet: Okay. Just one last one, if I may, I guess sticking to the sugar business, are we fully caught up on pricing there, anything you can tell us between kind of the costs and pricing lines?
Mike Walton: Yes. On the pricing side, George, as contracts come up for renewal, we reflect our new realities in pricing in each of those negotiations. And so there's always some coming up through the year, so I would expect the cadence to continue that we're on today and not see us deviating from that.
George Doumet: All right. Thanks for your answers.
Mike Walton: Thanks, George.
Operator: Your next question will come from Michael Van Aelst at TD Cowen. Please go ahead.
Michael Van Aelst: Yes, hi. Just like some help going through the math to get to your 10% return, because if I look at your gross margin per metric ton for the sugar area, it's about -- it's rounded up to $200 per metric ton, so it's about 20 million a year. And then how do you come up with your return calculation based on $200 per metric ton gross margin?
Jean-Sébastien Couillard: It's a good question. And part of it is the type of mix and product we're going to sell with the expansion. This expansion is going to be mainly related to industrial bulk sugar that will be produced in Montreal. And it's the Montreal economics that we’re using. So that's how the return that we're talking about here is aligned with the economics that the Montreal planned for this type of product.
Michael Van Aelst: Okay. So are you saying that the margins on the new business would be higher than the 200?
Jean-Sébastien Couillard: No. The margin on the new business will be aligned with what we have on our current business.
Michael Van Aelst: Okay. Just because 200 million -- at $200 a metric tons times 100,000 metric tons, you got $20 million. And then if you -- assuming I don’t know, 6% interest rate or something along those lines for the 200 million investment, that's 12 million of interest costs. So you got $8 million of free cash flow before taxes. That's quite a long payback period. And that's why I don't really come up with that 10%. And you talked earlier also about some reducing freight costs from Western Canada. I don't know how much that could help, but what else --?
Jean-Sébastien Couillard: Well, there's a few things, Michael. It’s a good question. There's obviously the avoidance cost right now that we have from bringing sugar from the West to the East. There's also a significant portion of our costs that are fixed in nature. So we have to look at it from the contributing factors of those costs that are already basically taking -- most of them are taking care of from our current business.
Michael Van Aelst: Okay. So you're talking within the cost of goods sold, there's some fixed components there?
Jean-Sébastien Couillard: Yes. We have a significant portion of fixed costs that we will be able to spread on more production in Montreal.
Michael Van Aelst: Okay, all right. And then you talked about current market dynamics for both sugar and then maple, you call them more unfavorable market dynamics. But is this -- for maple, I understand prices are higher. So that's -- inflation is hurting the consumer. So they're probably not buying as much maple syrup. But on the sugar side -- sorry, on the maple side, let's stay there for now. It also looks like you're trying to -- you're taking a higher margin at the expense of lower volumes. Are you losing market share on the maple side?
Mike Walton: Yes. Michael, on the maple side, no, we are not losing market share. The global market is down and our decline in volume is in step with what the global market is down for the very reasons you just spoke about, consumer inflation. Maple is seen as a luxury product and it's probably not the first item they're putting in the basket right now. So we're seeing global volume down, and we're in step with that.
Michael Van Aelst: Okay. And the refined white that you're importing on the sugar side, is that -- I guess it makes sense to assume that's going to come in at a much lower gross profit since you're not doing any of the refining?
Mike Walton: Yes, Michael, and out of an abundance of caution, as you know, in the last couple of years, domestic market’s been very tight. And so we've scrambled at times to support our domestic customers. And so out of an abundance of caution, we've imported some whites and have it on hand. We're using it in some of our processing now or production, and it will help us ensure that we can meet the needs forecasted or otherwise of our domestic customers.
Michael Van Aelst: Okay, all right. Thank you.
Mike Walton: Thanks, Michael.
Jean-Sébastien Couillard: Thanks, Mike.
Operator: Your next question will come from Endri Leno at National Bank. Please go ahead.
Endri Leno: Hi. Good morning. Thanks for taking my questions. The first one on the expansion, I just wanted to clarify something because we're talking about approximately 24 months, but I think there was the range put in there 24 to 36 months. I was wondering what could push this expansion to 36 months out of approximately 24.
Mike Walton: Yes. Thanks, Endri. We anticipate -- we've been through 14 months of engineering analysis and construction, detailed analysis and we're pretty confident in what the schedule is that's in front of us. But life can always give you curveballs and who knows what they may be. But I think what you're looking at on the longer timeline is perhaps the ramp up to full production capacity. Like anything, you won't turn the switch on 24 months from now and everything runs at 100%. There will be a ramp up of capacity and output expected volumes over that time.
Endri Leno: Okay. Thanks for the color, Mike. And then related to that, can you talk a little bit about placing production capacity and if you can share how much you have placed or how you're thinking about that, or any initial discussions? Thanks.
Mike Walton: Thanks, Endri. The market remains robust. And let's not forget that a fair amount of Canadian refined sugar that was produced in Canada goes into a sugar-containing product that goes to a foreign export market, United States or Europe. Those markets remain healthy. So we're confident with the analysis we've done some months ago that this capacity when it comes on stream, it will be well placed in the Eastern domestic market.
Endri Leno: Great. Thank you. And one last for me on the beet crop, I know you mentioned Mike the condition in Alberta, there might be some concerns there. But I've also seen some report that because of the hotter weather, the crop might actually be better. So I was wondering if you can talk a little bit about that. Are you seeing any kind of improved in yields? And what could that imply for the sugar content of the beet and given your new agreement that you have in there?
Mike Walton: Thanks, Endri. Well, as you know, I always like to say Mother Nature remains undefeated, especially in Canada, but what we're seeing so far is a normal crop. And beets love heat and they love water. And we have both in the West right now for them. So the crop’s progressing well. We don't have any signals yet that yields may be different than expected. It's early. We're into the final stages of growing. And six weeks from now, we'll start to see some real results as we started to look at the harvest. But for now, we're seeing a normal crop with -- the way we characterize it is we looked at five-year average yields and we're expecting this crop to deliver within that parameter.
Endri Leno: Great. That's it. Thank you.
Mike Walton: Thank you, Endri.
Operator: Your next question will come from Nevan Yochim at BMO Capital Markets. Please go ahead.
Nevan Yochim: Okay. Thank you. Good morning, guys. Just a couple of questions here on the expansion project. In terms of financing, would you expect to fund the balance of that through several transactions as the project transgresses, or as the project progresses? Or would this be something that you do ahead of the majority of the spending?
Mike Walton: That's a good question. I think our intent right now will be linked to what the market is going to present. We are positioning ourselves to be able to access the market in a timely manner. I think we -- one of the things we believe today is that we are filing today short-form shelf base prospectus. And so we will likely access the equity or equity-light market over the next while in order to finance portion of it. We've already added an agreement from a debt side with Investissement Quebec. There is a press conference here today where the Minister will announce support from IQ for 65 million on our project. And the rest we intend to use our current facility. So I think to make the long story short, it would depend on the market. I think we will do several -- sorry, a few maybe little transactions, but we'll be depending on the nature. So debt will be debt, equity will be equity. And obviously, there's the IQ support that we're announcing today.
Nevan Yochim: Okay, that's great. And then just one more on the project here. So can you sort of frame how much of that capacity would be going to new versus existing customers? And then, I don't know if you guys have already seen our received interest for, like a certain percentage of it, but any detail there would be helpful?
Mike Walton: Yes. Thanks. We can't give specific guidance on where the sugar is going. But as you've seen in the public announcements from other food manufacturers in Quebec and Ontario, existing customers are expanding, existing customers are building new plants and new customers are arriving on the scene. So it's a bit of everything. And our analysis tells us that we won't have -- we don't expect any problems in placing this volume when it comes on stream. As you know, we're transferring a fair amount of sugar every year now out of Western facilities to support the Eastern market. So obviously a fair amount of it’s already placed and we've turned off some supply to export markets to free up supply for domestic markets. So all those are pretty good indicators that what we're doing should have no trouble finding a home.
Nevan Yochim: Okay, that's helpful. And then the last one for me just on the maple business. So nice gross margin expansion this quarter. Can we assume that this is sort of a new run rate level, 130 beets expansion, is that what you're expecting go-forward?
Jean-Sébastien Couillard: Thanks, Nevan. We had it -- from a margin standpoint, it was a significant improvement this quarter. I think I would just caution here in the sense that some of it is related to mix. And so -- but we are confident in the positive and the progress we're making from a margin standpoint. I think as Mike mentioned, this is a market that is slowing down a little bit. So from quarter-to-quarter, depending on which customers are placing some of the orders and the mix of products, there could be some little variation, but we believe we should be better than what we actually posted in the past.
Nevan Yochim: Okay, great. Thanks, guys.
Mike Walton: Thank you.
Operator: Your next question comes from Frederic Tremblay at Desjardins. Please go ahead.
Frederic Tremblay: Thank you. Good morning.
Mike Walton: Good morning.
Frederic Tremblay: I may have a follow up to the last question there. If the maple market remains soft for a little while here, can you maybe give us an idea of your priorities between protecting volumes and sort of growing margins? I understand that to some extent they're both linked, but maybe some comment on how you think about volume versus margin moving forward.
Mike Walton: Thanks, Fred. We'll continue to manage the maple business such that it gives us the best returns we can get, while maintaining our market share that we've established when we acquired the businesses. So not -- the market’s in volume decline like it is. It's time to be prudent. If pricing becomes more paramount, then winning all volumes at any cost.
Frederic Tremblay: Great. And then maybe switching to sugar. With the capacity that you're going to free up in Vancouver from the Montreal and Toronto expansion, can you give us maybe some color on what are some of the opportunities that you're seeing out of the Vancouver facility to sort of get that volume going from that facility? Thanks.
Mike Walton: Thanks, Fred. For decades, Vancouver has been what we refer to internally as a swing plant. So we have a crop issue in Taber or we have an opportunistic market in export or as we've had for the last two years, needs in the domestic market in Eastern Canada, we ramp up Vancouver and we move the volume to where the opportunity is. But having said that, over the next couple of years for sure, we're going to continue to rely on Western plants to support the domestic market in Eastern Canada until we get the expansion completed. And post the expansion, we continue to see growth in the market. We're doing what I would say is a medium to modest increase in capacity in this expansion we're announcing today, and there will be still room for -- as the market continues to grow as we expect, they'll still be room for Vancouver to produce more. And we have not even tapped into what the potentials are in export markets out of Vancouver, because we've been focused on the domestic. So I think there's a bright future for all plants. And the cane plants are running well. We've sorted out the logistics well that we're able to move large volumes of sugar West to East and East to West when we need to efficiently.
Frederic Tremblay: Great. Thank you.
Mike Walton: Thanks, Fred.
Operator: We have a follow-up question from Michael Van Aelst at TD Cowen. Please go ahead.
Michael Van Aelst: Thank you. Back on the expansion, I'm just kind of curious as to how easy it was or to what degree you found experienced engineers and builders for this project, given that -- I think a lot of the refineries in North America are quite old. So I'm not sure how much experience there is out there in building new capacity for traditional type refineries?
Mike Walton: That's a great question, Michael. And I have to tell you, as you know, I've been in this business just over 44 years, and it's one that keeps me awake at night. And I can tell you myself and the team have traveled the world and met with some of the best sugar refining design companies and equipment production manufacturers. And we spent the right amount of due diligence, over 14 months, working with some of the top engineering firms and equipment manufacturers to design the right output for us. We're designing a plant for the next 135 years. We're not short-term players. And when we build plants, when we put equipment in, we make sure we do it with the diligence and the quality that will be durable to last us into decades in the business as is proven by our current track record. So we put a lot of diligence into that, Michael, and it's a really important factor for us.
Michael Van Aelst: All right. And the people that are going to be building it, do they have any experience building it or is this people that have engineered? You've got these people from Europe or where are they coming from?
Mike Walton: Without giving you all the details, Michael, but yes, we've had process design people from Europe involved in designing this project completely. On the process side, we've got a global reputable lean engineering firm that's been helping doing the design. And as far as the construction is, we're not building a new building. We're using an existing building. And we've got a good local general contractor that is going to manage that, someone that lives in our community and he's going to be just as accountable as we are to an outcome.
Michael Van Aelst: All right, great. Thank you.
Mike Walton: Thanks, Michael.
Operator: [Operator Instructions]. We have another follow up from Endri Leno at National Bank. Please go ahead.
Endri Leno: Hi. Thanks for the follow up. Just a quick one for JS, perhaps. But are you able to share any of the terms in the IQ loan?
Jean-Sébastien Couillard: We're not -- right now, we're not going to share those terms directly. I think the one thing that I can say here is the terms that we have with IQ are aligned with the commitment of the government for the food chain and to help the food chain industry in Quebec. I think that’s part of the discussion we've had with them early on. It was a long process working with them and they were very receptive, was to secure the food chain in Quebec. So they offer us what I believe is something that in some areas is market condition and in some areas shows their commitment to support the food chain industry in Quebec. Endri, that's probably as far as I'll go right now. 
Endri Leno: Okay. Thank you.
Operator: There are no further questions. So I will turn the conference back to Mike Walton for any closing remarks.
Mike Walton: Thank you, operator, and thank you everyone for attending this exciting day today with consistent quarterly results that we've reported and the announcement for Eastern Canada capacity expansion, and we look forward to updating you in the next quarter. Thanks a lot.
Operator: Ladies and gentlemen, this does conclude your conference call for this morning. We would like to thank you all for participating, and ask you to please disconnect your lines.